Operator: Good morning, and welcome to International Money Express Incorporated First Quarter 2023 Earnings Conference Call. During the presentation all participants will be in listen-only mode. [Operator Instructions]. As a reminder today’s conference is being recorded.  I would now like to turn the conference over to Mike Gallentine, VP of Investor Relations. Please go ahead.
Mike Gallentine: Good morning, and welcome to our quarterly earnings call. I would like to remind everyone that today's call includes forward-looking statements, including our second quarter and full year 2023 guidance, and actual results may differ materially from expectations. For additional information on International Money Express, which we refer to as Intermex or the company, please see our SEC filings, including the risk factors described therein. All forward-looking statements on this call are based on assumptions and beliefs as of today. You should not rely on our forward-looking statements as predictions of future events. Please refer to Slide 2 of our presentation for a description of certain forward-looking statements.  The company undertakes no obligation to update such information, except as required by applicable law. On this conference call, we discuss certain non-GAAP financial measures. Information required by Regulation G under the Securities and Exchange Act for such non-GAAP financial measures is included in the presentation slide, our earnings press release and our annual report on Form 10-K, including reconciliation of certain non-GAAP financial measures to the appropriate GAAP measures. These can be obtained in the Investors section of our website at intermexonline.com. Presenting on today's call is our Chairman, Chief Executive Officer and President, Bob Lisy; and Chief Financial Officer, Andras Bende.  Also on the call today are Chris Hunt, Chief Operating Officer; Joseph Aguilar, President, Latin America; Randy Nilsen, Chief Revenue Officer; and Marcelo Theodoro, Chief Digital Officer.  Let me now turn the call over to Bob.
Bob Lisy: Good morning, everyone, and thank you for joining us. As always, we appreciate your interest in Intermex. We had another strong quarter building upon the company's sustained track record of healthy growth. On Slide 3, Intermex grew revenue and EBITDA in double digits once again. Additionally, the key fundamentals that drive our superior operating performance quarter after quarter are trending in the right direction.  Our CFO, Andras Bende will review the numbers in greater detail during his portion of our prepared remarks. Without question, our core business is strong, and we are on track to meet our full year expectations. As a public company's fastest-growing omnichannel remittance company, Intermex is positioned to excel well into the foreseeable future.  As you know, the business we have built in the U.S. provides a differentiated value proposition to the Latin American corridor that is unparalleled in the industry. Because of our unique value-added model, an increasing number of consumers from Latin American community turn to Intermex to send money home. Powered by our state-of-the-art proprietary technology, we deliver value-added service to our consumers and thousands of highly productive retail agents who partner with us nationwide.  Our customer-focused omnichannel business is powered by superior technology that is difficult to replicate. The rock solid foundation the company has been built upon drives our sustained growth and creates uncommon value for our shareholders. With all the elements of the La Nacional acquisition now closed, the integration of Land's U.S. business is well underway, and we're well into the process of assessing the significant opportunity that exists for our business in Europe. While we acquired La Nacional primarily for its geographical complement and superior brand to the Dominican Republic, the La Nacional's European i-transfer business presents an attractive growth opportunity for Intermex.  The i-transfer division is currently profitable, and we see an opportunity to grow revenues and income many times over. For our digital business in the U.S. is demonstrating strong growth, the digital opportunity is likely larger and a near-term target for us in Europe. The i-transfer business represents a significant digital opportunity with minimal risk of channel conflict. The consumer base of senders is more likely to be banked in Europe. This will present the perfect landscape for us to thoughtfully execute our omnichannel strategy. Across Europe, we can selectively focus on retail and/or digital when and where it makes the most sense, an advantage that few retail providers and no digital players have today.  Currently, i-transfer operates in Spain, Italy and 1 company-owned location in Germany, representing a tremendous outbound remittance opportunity. We think i-transfer’s current presence Ulster with Intermex's strategy and capital creates a powerful combination. We're excited about the growth ahead. As we have stated previously, there are a number of components of the La Nacional investment that will become much more efficient over time, driving higher margins.  Simultaneously to seizing the opportunity in Europe, which is underway, we have made great progress ramping up the full-scale integration and rightsizing of La Nacional's U.S.-based business. The upside potential for La Nacional in the U.S. is more about rightsizing the retail network and maximizing efficiencies and margins. Growth opportunities will exist, but they will be driven by careful profitable growth.  We are also instituting our disciplined operating rigor and efficiency to the U.S. operations. By that, I mean our focus will be enhancing margins by capturing synergies and eliminating waste wherever possible. While La Nacional's U.S. footprint actively has been reduced by some 500 unprofitable retail agents under our management with some additional reductions planned. Shortly after closing, we also rightsized the sales organization to match the reduced service area footprint. Our formalized restructuring plan is in place, and we will be at a run rate of 9% to 11% EBITDA margin by late 2023 or early 2024. The La Nacional is proving to be a great asset for Intermex, and we're just getting started.  On Slide 4, including the La Nacional, prompts us to rethink how we discuss market share in the U.S. and Latin America. Adding the La Nacional substantial presence in the Dominican Republic changes the equation. Instead of tracking our share versus the market at four largest countries in Latin America, now makes sense for us to expand that to the top five countries, of which the Dominican Republic is parked. These countries amount to 82% of the money spent from the U.S. to Latin America and the Caribbean. We estimate our 2022 market share in these five key Latin American receiving countries was just over 20% when adding La Nacional.  It further solidifies our position as one of the leading remittance providers in that market. Additionally, if you look at Slide five, showing the top eight countries, which represent 92% of the money transferred from the U.S. to the region, you see that Intermex has steadily grown our market share to almost 20% for 2022.  Our priority continues to be expanding our footprint in the most important ZIP codes for our spending consumers with a differentiated value proposition for both our consumers and our agent partners. The majority of transaction growth is produced by same-store locations, with the balance coming from new agents. When we recruit a new agent retailer, it provides incremental transactions in year one, but that same retailer will grow by larger percentages in years two and three. Our continued pipeline of quality new agents is critical to new store performance, but even more important to same-store growth over time.  Based on Intermex's superior service for both the consumer and the agent retailer, our share of the remittances within the store will grow as we become the preferred provider over time. To accelerate our 2023 growth, we have added more than a dozen regional sales executives, whose job is strategically add a high-performance new retail locations. Especially in the West, where the unfilled market opportunity is greatest for us. The potential for growth in the region is significant, and we are confident that our investment will prove to have an excellent return in terms of building our business in the Western states.  In summary, it has been another strong quarter for Intermex. Our best-in-class retail core business continues to perform at a high level. The addition of the La Nacional's U.S. business and the i-transfer business in Europe has provided significant growth opportunity. We're excited about the top and bottom line potential contributions of these two business units as they are rightsized and instilled with the Intermex approach to the market.  With that, I'll turn the call over to Andras, who will drill down into the numbers and offer perspective on our first quarter operating performance. Andras?
Andras Bende: Thanks, Bob. Intermex had another strong quarter, thanks to our competitive advantage in the marketplace and the highly efficient management of our growing lines of business. The intelligent thoughtful investments we make in people, innovative new products, scalable technologies and new markets continue to drive the company's double-digit growth. We're executing a differentiated omnichannel business strategy for expanding our ecosystem productive and profitable retail agents with a laser focus on efficiency, engaging in only the right partnerships in the right geographies. We're also rapidly growing and best-in-class digital offering and differentiating that focus on profitability as opposed to growth at any cost.  On Slide six, the strength of our underlying business, along with the addition of La Nacional has driven up the number of unique active customers by 37% during the first quarter to $3.6 million. These customers generated a record 12.9 million remittance transactions, 29% more than a year ago.  On Slide 7, within the growth of the overall transaction, it was a 68% increase in digitally originated transaction as strong customer acceptance of our mobile app continues. 30% of our transactions either sent or received digitally, up almost 5% from a year ago. These numbers reflect double-digit growth in our core business and the contribution of La Nacional U.S.-based business. The international entities of the La Nacional transaction didn't close until April 5, following a final approval from the Bank of Spain, which we received on March 22. The international entities did not impact the first quarter, but will be consolidated for the majority of Q2, in line with our expectations and our previous guidance.  Adding to Bob's comments, we think adding La Nacional to our portfolio is an excellent use of capital, and we're excited about what we've achieved to date and what lies ahead for us. We're confident in our ability to capitalize on material opportunities the business presents to us in both the U.S. and Europe.  Now that the business is entirely under our management, we're excited about enhancing profitability in the U.S. in providing capital and strategy to fuel growth for i-transfer in Europe.  On Slide eight, total principal transfer grew 22% to $5.3 billion, driven by the strength of our core business, coupled with the addition of La Nacional. The average remittance amount was down 5% for the quarter year-over-year at $415 per transaction. So the decline is primarily due to lower average transaction amount to the Dominica Republic, which are now a larger share of our business since the acquisition of La Nacional.  Our core remittance trend continues to be down only slightly about 0.8%. For comparison purposes, the core Intermex average spend was $433 during the quarter compared with $301 per La Nacional. As Bob mentioned earlier, with La Nacional now fully consolidated, it now makes sense to look at the 5 largest markets in Latin America and the Caribbean, where we set and our market share is up 150 basis points from the first quarter of last year to over 21%.  On Slide nine, looking at the top line, ages and customer growth contributed to the 27% year-over-year increase in revenue, reaching $145.4 million during the three-month period. As for the contribution to revenue from our digital business, we continue to thoughtfully pace spending around our app and online offerings to match or stay ahead of consumer acceptance. We're successfully growing the digital business efficiently and profitably with the revenue contribution of our digitally originated transaction, up 79% year-on-year in the first quarter.  We keep a tight pulse on consumer behavior, which positions us to intelligently invest in digital, always ensuring the unit economics are there to support it. It was a very good quarter, and growth in the business was strong. It's worth mentioning, however, that net income growth, while in line with our expectations, with areas, seasonality in 1Q in the La Nacional business, higher interest and depreciation expense and a higher effective tax rate in growth in Czech.  Net income was up just under 1% at $11.8 million. GAAP EPS growth was better at about 3%, driven by our opportunistic stock buyback activity.  Looking at Slide 10. Adjusted EBITDA increased more than 16% to $24.1 million, benefiting from strong revenue growth, partially offset by that same seasonality exhibited by La Nacional and an exceptionally strong February 2022, which made for a challenging [indiscernible] in the quarter. Adjusted net income was up 6% during the first quarter to $14.2 million, impacted by the same underlying drivers of GAAP net income, but excludes items like share-based compensation, transaction-related expenses, amortization of certain intangibles and the tax impact related to those items.  Turning to the balance sheet on Slide 11. Intermex continues to be an efficient operator and a strong generator of cash. The company ended the quarter on a Friday with a cash balance of $85.5 million. It's worth it to mention that Friday is the operational low point weekly for cash balance for the business.  Net free cash generated is our internal measure, which excludes working capital cyclicality, and it remained strong during the quarter at almost $14 million, an increase of more than 37% from the first quarter of last year. From a buyback perspective, we continue to be active in the market during the three-month period, purchasing 316,000 shares for just under $7.6 million at an average price of $23.95 per share.  Additionally, we previously disclosed it in our fourth quarter call, but it's worth mentioning again the Board recently authorized an additional $100 million for share repurchases. The opportunistic buyback program as another excellent use of capital, we anticipate remaining active. The company has repurchased over 3.1 million shares for about $66.9 million. This includes the original $40 million authorization in 2021 and amounts we purchased directly from a significant shareholder in the third quarter of last year.  Also worth mentioning is the recent April upsize of the revolving line within our credit facility, which now has a capacity of $220 million, up from $150 million. This additional capacity gives us more flexibility to grow organically and through M&A while also creating additional room for opportunistic buyback.  On Slide number 12, we're holding firm on our guidance for the full year based on our positive first quarter results. We'll go through it once again today. For the year, we expect the flow revenue to be in the $67 million to $88.5 million range, an increase of 22% to 26%. Net income of $66.5 million to $69 million, an increase of 16% to 20% and adjusted EBITDA of $120 million to $124.5 million range, an increase of 14% to 18%.  For the second quarter, we expect the following revenue to be in the $168.6 million to $174.1 million range, an increase of 23% to 27%. Net income of $16.8 million to $17.1 million, an increase of 5% to 7% and adjusted EBITDA of $30.7 million to $31.4 million range, an increase of 11% to 14%. This guidance considers the full impact of La Nacional, the U.S. business that closed in the fourth quarter and the international business we just disclosed at the start of 2Q.  We also want to highlight that starting with our Q2 earnings release, we'll start to communicate guidance in the following 3 metrics: revenue, EPS and adjusted EBITDA. In summary, we continue to execute and we feel well positioned to deliver another strong year for our shareholders.  With that, I'll turn it over to the operator for questions.
Operator: [Operator Instructions] I will proceed with our first question on the line from Mayank Tandon with Needham. Please go ahead with your question. 
Mayank Tandon: Thank you. Good morning. Congrats on the quarter. I wanted to first start, Bob, with the investments that you need to make in Europe to be able to capture the opportunity. And to that effect, could you talk about what other markets you would be targeting on the SEM side? And who are the recipient countries in this case when you start to expand into Europe beyond the current countries that you mentioned?
Bob Lisy: The last part of it was who were the countries that say that again?
Mayank Tandon: Just to be clear, I was wondering if you are also looking to expand beyond the countries that you mentioned that La Nacional already has a presence in Spain, Italy and Germany. And then also from a [indiscernible] country what are the corridors that we should be keeping an eye on that?
Bob Lisy: That the question was pointed at the last part, Okay. So yes, there's a huge amount of opportunity as we've looked at it from first pass in Spain and in Italy. And right now, we've just really just cracked the seal in Germany. We only have one company-owned store. And so there's a lot to work through in those three countries. But in addition to that, France would be certainly a country would expand to in the longer run, possibly U.K. But the first piece is that there's room in those three countries to expand greatly. Actually, we do more business today in Spain than in Italy, at least actually a bigger outbound market. And Spain is not exactly a huge market share at this time. So it's a fledgling business.  The good thing about it is, though, is that business as small as it is, has been able to grow with its own power so far, and it's growing profitably. For us, what it will be is a couple of things. One will be the sort of the efficiencies that we bring, a really targeted approach to who are the immigrants and where are they? How do we tap into them? How do we provide the value-added quality approach to drive wires.  The second one will be investment, but we won't just invest. We recognize today, our efforts are not 100% efficient. And so there's opportunities to reguide ourselves to expanding out Europe, the same we expanded out in the U.S. and create high-performing retailers that are capturing wires. So that's the first part of out. The second part is, there'll be some we already go to deliver from Europe to a different set of countries than we do necessarily out of the U.S. Some countries will still be important. There's still some decent amount of volume going to certain South American countries and some Caribbean countries. Obviously, Mexico won't pay as big a role in it. But for instance, in Germany, you wouldn't necessarily know, but one of the biggest partners, one of the biggest corridors would be Turkey. So we'll work to get a better relationship to send money back to Turkey.  A lot of money going to sub-Saharan Africa, somebody going over to Asia, money going over to Eastern Europe. And we have some solid relationships in that area today without issues. But one of the things we'll be doing is building better connectivity with payers in those countries. It's very easy to get bank connectivity. There's big networks like Visa and Mastercard that can provide that for everybody. The key will be to layer on top of that, payers that will differentiate us as it differentiated us in the U.S. and payers that can do over-the-counter cash and can do various ways of disbursing cash, so that, again, we continue with the omnichannel model that we brought to bear in the U.S., and we carry that over to euro.
Mayank Tandon: Bob that’s a great color. Thank you for that. And just as a quick follow-up question. I wanted to ask on margins. You're already running ahead of the medium-term margin goal that you set last year. So just wanted to get any thoughts. Is there any reason to expect a step back in margins? Or have the dynamics changed so the medium-term target might be rendered too conservative?
Andras Bende: Yes. I think you're referring back to the Investor Day in 2022. I think we have an opportunity to do a bit better than what those margins would have guided to. I think as we increase the amount of business that we're doing in digital, you'll see a little bit of downward pressure, obviously, from bringing on La Nacional, which is a lower margin business by nature. They've gone down a bit. But I think we have the opportunity to do better than that.
Mayank Tandon: Great, I’ll get back in queue. Thank you so much. 
Operator: Thank you very much. We'll get to our next question on the line from the line of David Scharf with JMP Securities. Go ahead. 
David Scharf: Good morning. Thanks for taking my question. Bob, just to start, less a question on kind of the quarter. I wanted to get maybe your updated thoughts on the slides regarding market share and how we ought to think about particularly for those top five Latin American received countries, how we ought to think about ultimately the TAM, the opportunity for you? I mean as you think about how this business can get -- do you look at it from a bottoms-up perspective, meaning here's all the underserved ZIP codes in the U.S. that are setting to these countries that we're not in and we can be in? Or do you look at it more top down in the sense that here's based on your experience, your sense for kind of what a natural feeling is for market share? Because at 21%, it's already pretty formidable. I mean, which way should investors think about the business as they try to assess how big Intermex's U.S. to those five countries can get?
Bob Lisy: Well, it would be bottom up. We -- to me, a top down is a bit of a fantasy. It's a bit of an arbitrary number. And so we look at bottom up. And I think that my support for that would be that a consumer that's sitting in Salinas, California doesn't care that we have a huge share in Atlanta, Georgia, we still have the same opportunity to gain share and get more wires from that consumer there. And so we look at what our performance looks like ZIP code by ZIP code.  Frankly, some of these zip codes have more challenges than others, and we've talked about that for years. We're not as early as an entrant. There's some irrational exuberance of competitors that over discounts to gain what they think is share on unprofitable wires. But at the same time that we look at that, we see a huge opportunity of when we talk about our growth and the growth opportunity, we're not talking about attaining in the Western states or in California, anything close to the kind of margins we've never projected that to the market that we attain in certain states Southeast or even the same market share that we have. We do recognize there's a huge amount of headroom and a huge amount of open field for us to compete in, and that is -- that, I think, could still drive market share.  Now there's two ways to think about that. One is Mexico and Guatemala, where we are clearly a market leader. Guatemala, we're the #1 brand, we believe in the world sending money to Guatemala any kind, digital or retail. Mexico, we're amongst probably the two largest brands sending money to. But there's also brand, there's also countries that are coming on with tremendous growth that have a huge upward opportunity. We've seen a lot of growth in countries like Nicaragua and Ecuador and Colombia. These don't have the same margins as Mexico, but there's a huge amount of growth there. So we have those core countries that still have a lot of open territory, a lot of ZIP codes that are either not fully built out or not built out at all.  And then you have these other countries in Latin America that we purposefully built that way because we started with the foundation of Mexico and Guatemala for a number of reasons, largest markets, most profitable transaction. And this is just all part of that plan. So we believe there's still an opportunity to move our overall share to those big 5. And then the next group, which includes countries like Nicaragua Ecuador, Colombia, the eight, which is like 90-some-percent of the market. We think there's a tremendous opportunity still to gain share in those markets and by the way, those markets are also growing. So there's going to be growth by holding service, and then there's a growth that we think will grow faster than the market.
David Scharf: Got it. Understood. Thank you for the color. A couple of just quick follow-ups for Andras. Any input on the tax rate for the quarter we ought to about the year?
Andras Bende: Yes. No, that was -- that's a good one to note and talk about. With the acquisition of La Nacional, that is a lot of revenue driven in the New York, New Jersey area, so higher state tax jurisdictions. It's just apportionment it's attracting more of our bottom line and overall tax rate. So it's really additional La Nacional and the spillover from that concentration of business.
David Scharf: Should we think about the full year effective rate then is this?
Andras Bende: Yes, I think closer to 29% versus the 27% that you would have seen in the past is probably a better way to look at it.
David Scharf: Got it. And recognize on the cash side, obviously, ending on a Friday, I think as much as [indiscernible] like half of your cash can get eaten up by prefunding for the weekend. But more broadly, can you update us on how we ought to think about sort of a conversion rate of EBITDA to free cash flow, what you're running at as we think about how much is ultimately left for...
Andras Bende: It's about 60% to 65%.
David Scharf: 60%, 65%. Got it. And then lastly, somewhat related, as we think about buybacks, can you also remind me, are there any covenant restrictions? I mean, I know some companies might have a aggressive authorization, but they're limited by loan covenants that, for example, repurchasing only 50% of net income on a trailing basis. Is there anything restricting the level of buybacks in the period?
Andras Bende: Yes. We're unrestricted up to 2.25%, 2.25 times leverage. And then beyond that, we do get a percentage allocation of trailing 12 every year, even if we're beyond that 2.25%. So if you look, we would -- it would be detailed in our past releases. 
David Scharf: Got it. Got it. Perfect. All right. Thanks. 
Andras Bende: And by the way, our covenant calculation isn't the straight up where you end on the quarter because we have that revolving factor, right, so you're taking about a 14-day average, which would suggest that, on average, our leverage is pretty low from a covenant perspective.
Operator: We'll get to our next question on the line is Mike Grondahl with Northland Securities. Go ahead. 
Mike Grondahl: Hey guys, good morning. Could you guys break out revenue from La Nacional in 1Q? And what's embedded in 2Q, do you think we can understand the core revenue growth rate?
Andras Bende: Yes, no problem. Happy to do that. This is Andras. And 1Q on as now revenue was $17.5 million. And then for the year, and then that's all U.S., right? And then for the year, La Nacional U.S. is probably going to be around $75 million. And then three quarters of i-transfer which is going to be around $12 million to $13 million.
Mike Grondahl: Got it. That’s helpful. We can back into that 1Q core growth then.
Andras Bende: 1Q Core growth about 11.5% in terms of transaction revenue. 
Mike Grondahl: About 11.5%, okay. 
Andras Bende: I think gets you 11.5% to just on -- in the core business.
Mike Grondahl: Got it. And then kind of for Bob, I think, you talked about hiring 12 regional directors, 12 salespeople. One, how recent did you hire those? And what triggered that? You've always had this very large outsized opportunity out West. So I'm kind of curious what triggered the hiring of those 12, especially if it was really recent, and then I hate to tie on one more. But obviously, that's going to -- the goal is to drive some agent growth there. Can you talk about what new agent growth has been and sort of what your expectations are for it? I know you don't give us an exact number, but just how we should think about the growth rate for agents? 
Bob Lisy: I'd like to start by saying we're never trying to deliver agent growth. We're trying to deliver transaction and revenue growth. So it's really easy to deliver agents. We could add -- we could double our agent network tomorrow. We probably have the smallest network of any company doing the kind of volume business we have in the market today. So this is about driving revenue. Agents are a vehicle, and they're our channel partner, and we really respect and value them. But it's not about adding -- it's about adding quality agents.  So I want to just reemphasize important of how we target in the right places with prequalifying an agent that we know or believe will deliver a certain amount of transactions, not just putting up agents. The second part is, it's not necessarily just we've always had and they're called RSUs, their regional sales executives, and there are people that float. So what that means is they might not be in an exact just district. They might be in Southern Cal and there might be four districts in Southern Calender selling in two or three of them or they might be selling in one, and Randy will deploy them as necessary based on the open opportunities.  Those open opportunities have been there. That's correct. There's no doubt about it, and we've been working against those. But this year, we felt that we needed to put a little bit more generation in new retailers that would be driving wires that would start to build the pipeline a little bit faster, particularly in the western states, and we're able to put them in the plan and still be able to be in line with consensus. So the opportunity was to do invest a little bit more in those areas. We also think that the marketplace has gotten a little tougher in the West. There's aggressiveness as we talked about, relative to particularly some of the private companies, but at least one or two of the public companies that have been discounting in a way that we need to be more assertive to continue to grow our market share in those states. So all of those things being considered, that's where the investment comes from.
Mike Grondahl: And maybe just a follow-up. So the 12 were all added in '23, like really recently. And are most of them out west? Or can you say sort of what percentage of them are...
Bob Lisy: They were not in '23, number one. Some of them are with us in fourth quarter. And they're not all west. There's a disproportionate share. If you think about West, as Texas and West, there's a bigger share, but we have some in some markets in the East as well, where we have opportunities to grow our market.
Mike Grondahl: Got it. Well, good to hear about that growth. And thanks guys. 
Operator: [Operator Instructions] And we'll get to our next question on the line from Chris Zhang with Credit Suisse. Go ahead.
Chris Zhang : Thanks for taking my question. So I had one on the value-added services that you highlighted at your Investor Day that those include co-branded processing, the GPR card and additional incremental products, including in the international market. So maybe can you give us an update on the size of the value-added service in terms of what portion of contribution they have on your overall revenue? And what's the growth rate there? And also with the La Nacional acquisition? What are some of the opportunities on the value-added service that you're seeing?
Bob Lisy: Well, we wouldn't consider them value-added. We consider them products on to their own. When we talk about value add, we talk about all the ingredients of our core products. But if we talk about the GPR card or we talk about our payroll card, those are fledgling products that are early stages. We think that over the course of the next several years, they can be significant contributors in revenue, but even more so in terms of EBITDA, they're really high-margin products. We think we're well positioned because no one is really delivering a card to the Latin American community the way that some folks have done through the Walmarts and the -- with the little hooks -- hooks and stuff like that. No one's really done that in our community of consumers.  So we think there's a huge opportunity there, but it's really early on, and you're not going to see a significant impact from either card, that's our payroll card or our GPR card in terms of our revenue or EBITDA growth for a couple of years. It's going to be a non-material, but it will grow. We're very satisfied with how we've been able to grow the payroll card. But at this point, it's a small business.
Chris Zhang: I appreciate all the color, Bob. And just a follow-up on the quarter in terms of the unique customers at the end of the quarter. This was a very slight decline from 3.7% to 3.6%. I understand there might be some rightsizing with the La Nacional acquisition or maybe some seasonal factors...
Bob Lisy: Maybe unpack...
Chris Zhang: Yes. Can you maybe unpack the cost of the slight decline and I also understand that you're more focused on the transaction revenue growth where you delivered pretty robust growth in the first quarter. So -- but just trying to understand...
Bob Lisy: I just want to make sure, you're referring to the decline. Is that a year-over-year? Is that fourth quarter to first quarter you're referring to? 
Chris Zhang: Fourth quarter to first quarter, so from [indiscernible]. 
Bob Lisy: We've cautioned all the analysts like a lot of times. I can do it again, that sequential quarters do not work in our industry. The weakest month of the year is January, the second weakest month of February, the strongest months of the year, two of those are in fourth quarter, October and December. So by design, you're going to have a lot more new customers. I'm pleased that we would be that close, really if you then priced to be honest, it shows that our business is doing better in the first quarter than in fourth quarter with holding the line that close with that less of a business relative to how things seasonally are slower in January and February.
Chris Zhang: Yes, that’s fair. I do see that seasonality in the first quarter of '22, although in the first quarter '21 is flattish. I just want to make sure that's more seasonal, and that will answer my question. Thank you.
Bob Lisy: Okay, Great. Thank you.
Operator: I will now proceed with our final question for today is from the line of Alex Markgraff with KeyBanc Capital Markets.
AlexMarkgraff: Thanks for taking my question. Just a follow-up on the sales count commentary. I'm just curious after the 12 or so hires that you outlined, how you're thinking about it through the balance of the year. Is there more opportunity or desire to kind of continue to add at that pace? Just any comments there is the first question.
Andras Bende: Right now, we are on hold in terms of additional hires. We want to make sure that we maximize the efforts. Now we'll have a significant upgrade in the number of people out in the marketplace. And the key will be to make sure that we're efficient in driving increased transactions on gross margins from each of those people's book of business. We could add more later, but there's not a plan at this point. We'll first make sure that these additional headcounts are driving and basically getting to a point where they're paying for themselves within the time period that we expect that to happen, which is kind of within six, seven months where they're bringing in enough business that they're -- they've exceeded their cost and then they're starting to be contributors.
Alex Markgraff: Very clear. And then maybe, Bob, just for you, I would love to just kind of revisit your perception of the competitive environment in some of the various end markets that you noted across Europe. Maybe kind of -- I don't know if you can provide a similar analysis you did just see questions go around U.S. slightly and that would be helpful.
Bob Lisy: Yes. So the question is assessment of the competition in U.S. to Latin America?
Alex Markgraff: No, sorry, just around the various end markets that you noted across Europe that you're currently in and kind of are looking tries to get it…
Bob Lisy: I don't know that we have all the data. I think some of the same players are there. Some of the public or three public companies that you know over there. There's another strong competitor that has some decent size by in a small world. And there's some small regional guys. It's equally -- I would say from my early quince with it, it's a market that's not unlike the U.S. and its fragmentation of some smaller players, regional guys. Think of the countries there almost like states and regions here in the U.S. Some people are in Italy, some people are in Spain. So there will be -- and they'll be the three public companies will be there, obviously, that you're familiar with.  But the game will be a little bit different, but the process that we go under, which is really to how big is the market, who owns it, how do we get it? What do we get if we get it. We're, I think, different than almost any company in the industry that we don't aimlessly go out after opportunities just because they're big is can we get that business? What do we get if we get it? Is there a return on investment. And we'll go through analyzing the market and finding the key opportunities as we have in the U.S. that are the ones that can drive the business forward, the fastest.  We it's really easy to go ahead and us to expand into 30 or 40 or at least 10 countries in Europe quickly. But the business will be driven by Spain, Italy, France, Germany, maybe another one or two countries. And so our focus will be similar that it's been to the U.S. from the U.S. We focus primarily on Mexico and Guatemala. We drove tremendous volumes, a high market shares and high profitability in that foundation that he built from there.  So it will -- for us, I don't want to sound like we're not concerned about the competition, but it's about execution, market analysis and awareness of the opportunities and return on investment, the same basic core competencies that we brought to the business in the U.S. played out in a little  different marketplace. And so that's the way we'll approach it.
Operator: Mr. Lisy, we have no further questions on the line. I would like to turn the call back to you for any closing remarks.
Bob Lisy: Well, thank you all for joining us. We appreciate your time, and we look forward to talking to you all soon. Have a great day.
Operator: Thank you. And that does conclude the conference call for today. We thank you for your participation. Please disconnect your lines. Have a good day, everyone.